Operator: Thank you for standing by. Welcome to the Q3 2023 Hecla Mining Company Earnings Conference Call. I would now like to welcome Anvita Patil, VP, Investor Relations and Treasurer to begin the call. Anvita, over to you.
Anvita Patil: Good morning, Mondeep, and thank you all for joining us for Hecla's third quarter 2023 financial and operations results conference call. I'm Anvita Patil, Hecla's Vice President of Investor Relations and Treasurer. Our financial results news release that was issued yesterday, along with today's presentation, are available on Hecla's website. On today's call, we have Phil Baker, Hecla's President and Chief Executive Officer; Lauren Roberts, Hecla's Senior Vice President and Chief Operating Officer; Russell Lawlar, Hecla's Senior Vice President and Chief Financial Officer; and Carlos Aguiar, Hecla's Vice President of Operations. Any forward-looking statements made today by the management team come under the Private Securities Litigation Reform Act and involve risks as shown on Slide 2 and our earnings release and in our 10-K and 10-Q filings with the SEC. These and other risks could cause results to differ from those projected in the forward-looking statements. Non-GAAP measures cited in this call and related slides are reconciled in the slides or the news release. I want to remind you if you would like to have a call with the management, you can do so by using the link under the section Virtual Investor Event in our earnings release that was issued yesterday. With that, I will pass the call to Phil.
Phillips Baker: Thanks, Anvita. Good morning, everyone. Thanks for joining the call. Before I get to the slides, I want to just remind you that Lauren is going to be retiring at the end of the year, and I just want to thank Lauren for his tenure at Hecla. During his time, there has been a lot of accomplishments that he has – the company has done and that he has led. But what really stands out to me, is that when he arrived at Hecla, we were still at the Lucky Friday focused on cutting the rock using a mechanical mining. But we began the steps that led to the new mining method at the Lucky Friday. And without his support, knowledge, leadership, I doubt the UCB would have been developed. We wouldn't have a patent for a new mining method. So thanks, Lauren, for all that you've done. I'd also like to introduce Carlos Aguiar, he is our Vice President of Operations, and Carlos is from Mexico and he became a U.S. citizen two years ago and has been with the company a total of 27 years, 17 of those years has been working for us in Latin America, in both Mexico and Venezuela. He has nine years of experience as a GM for us at both San Sebastian and Lucky Friday Mines, and he also knows Casa Berardi. He really started the mill modifications. And I've known Carlos now for about 20 years. I first met him on a tour of the mill in Venezuela. And his leadership abilities and commitment to operational excellence has really been reflected in the consistent and improving results that he has achieved everywhere that he's worked. Every operation has seen significant improvement with him at the helm. So you are going to enjoy getting to know him and with that interaction, I'll start with Slide 3. I want to take a moment to just step back and discuss our performance from a longer term perspective. We typically do this. It's the way we look at the businesses on a long-term basis. And over the past five years, you've seen our revenues grow 27%, silver reserves 79%, silver production 37%. And as we work toward producing up to 20 million ounces by 2025, it means that we will close to double our silver production since 2018. And maybe more impressively is that next number, the $767 million of free cash flow that our three operating mines generated. And this, of course, has resulted in the strong share performance. And it is the quality of our assets. These are assets that have long reserve lives, high grades, low cost, consistent performance and significant exploration potential, which allows you to have this performance over time. And I'll suggest to you that Greens Creek checks all five of those boxes; long reserve lives, high grade, low cost, consistent performance and significant exploration potential. Lucky Friday at this point, checks four of the five. Casa and Keno checks three of them, but all the mines check the long lives. So we are focusing on setting up the mines for the long-term, pushing for continuous improvement and allowing innovation to fundamentally improve them. So they all end up, I'm convinced all of them will end up checking all five of the boxes. So with that context for the quarter, let me move to Slide 4, and I'll start with the Lucky Friday, which will not have production until early 2024 as we block off the lower part of the two shaft and build a new secondary escapeway of ventilation raise. And this three month project is going well. At the same time, we are still advancing other projects and completing our equipment purchases. We actually have 10 pieces of equipment on surface that are ready to go underground. And we expect to ramp back up to full production in Q1 and see the Lucky Friday continue in 2024, the production growth and the free cash flow that we saw before the fire. Now at Keno Hill, production has been slowed due to the delay in the shotcrete plant commissioning just yesterday in the cement rockfill plant scheduled to be completed later this month. Their completion puts us in a position to advance development and production faster. And the grade of the ore has even been better than what our block model had predicted. However, we are concerned with the safety culture at Keno. Our all-injury frequency rate at Keno is around four, which is not acceptable. If you look at Greens Creek and Lucky Friday, they are both less than one. In the last two months and more recently in the last two weeks, we've had some near misses that didn't result in an injury or damage to equipment that they could have, and that's not acceptable to us. As a result, I've tasked Carlos and his team to methodically review all our process and procedures to get safety right because we know that excellent safety not only prevents injury, but also standardizes activities which increases predictability and production. And so the safety review of Keno will likely be to changes in our processes, schedules, equipment, and the way we mine. And to make the mine safer, we will re-engineer certain processes. With the mine just starting up and with its expected long mine life, we must get off on the right foot on safety. So we are going to take whatever time is needed to do that. Greens Creek had another consistent strong operational quarter and we are increasing silver production guidance at the mine. Greens Creek has already generated over a $100 million of free cash flow for the year. Now Casa Berardi had a very good quarter progressing on the transition that we are making for becoming only an open pit mine, reporting cash costs and all-in sustaining costs that are well within guidance and building infrastructure that sets the mine up for success in the next decade. Earlier this year, we saw the need to make the fundamental changes, which we began implementing just this past quarter, and we are already seeing the benefits of that. Now, as a company, silver production guidance is only slightly lower. Midpoint of guidance is just 400,000 ounces less silver. Silver costs are unchanged, gold is unchanged other than a little lower cash cost. And finally, the safety performance at our mines, with the exception of Keno Hill has been one of the best in the industry with an all-injury frequency rate consistently lower than the U.S. national average. So with that, I'll pass the call on to Russell.
Russell Lawlar: Thanks, Phil. I'll start on Slide 6. As we think about the year so far, even Lucky Friday down for most of the third quarter, silver accounted for 38% of revenues with silver operations generating more than $120 million of free cash flow. With strong gold production of 39,000 ounces, gold accounted for 36% of revenues and base metals contributed 25%. We are on a path of more than half of our revenues coming from silver. The strong balance sheet and financial flexibility have always been key priorities with the goal of maintaining a leverage ratio of less than 2x and maintaining significant liquidity. In the third quarter, we saw our leverage ratio increase to 2.2x due to the Lucky Friday suspension of production and our continued investment at Keno Hill. Although we expect our leverage ratio will remain elevated next quarter, we see this increase is temporary. Our liquidity is adequate at $165 million. However, I expect our leverage ratio will be less than 2x and our liquidity will grow substantially once the Lucky Friday is back into production and Keno Hill matures. Now I'll turn to Slide 7 to highlight some of the key attributes of our silver mines, especially now that we are going through a period of investment. Our silver mines have consistently provided strong margins. This is shown in the graph on the left where over the past four years, this margin has been near or above 50% and has translated into consistent free cash flows. The chart on the right highlights just how strong this free cash flow generation is from our silver mines. Where since 2020, Lucky Friday and Greens Creek have generated more than $800 million of cash flow from operations and even more impressive is the nearly $600 million of free cash flow. These strong margins and the resulting free cash flow generation allow us to invest both capital and exploration at these mines, as well as in our broad exploration portfolio in addition to returning capital to our shareholders in the form of dividends. And now, I'll turn the call to Lauren.
Lauren Roberts: Thanks, Russell. I'd like to just make a few comments on my time with Hecla. I began with Hecla as a summer intern in 1988 and became a full-time employee in 1989. I spent a little under eight years with Hecla and could not have asked for a better start to my career. So when the opportunity to rejoin Hecla presented itself some two decades later, it was a very easy decision for me to return home. The chance to give something back was very important to me and it's been a really rewarding four years. So I'd just like to thank the Hecla family for that. With that, I'll start on Slide 9. Greens Creek, our flagship mine turned in another strong and consistent quarter producing 2.3 million ounces of silver in line with the prior quarters 2.4 million ounces. The mine has already produced 7.5 million ounces in the first three quarters of the year and remains on track to achieve its throughput target of 2,600 tons per day by the end of the year. Cash costs and all-in sustaining costs per silver ounce were $3.04 and $8.18, respectively, and were higher than the second quarter because of lower gold production and lower gold prices. Capital spend for the quarter was $12 million higher than the previous quarter, and as planned due to equipment purchases and seasonal surface projects. The mine generated $28 million in free cash flow in the quarter and has already generated more than $100 million in free cash flow this year. We are increasing silver production guidance to 9.8 million to 10 million ounces for the year. Due to mine sequencing, zinc production is expected to be somewhat lower, increasing our cash costs and all-in sustaining costs per ounce guidance due to lower expected byproduct credits. Capital guidance is unchanged at $47 million to $50 million. Greens Creek truly is a premier silver mine, the 11th largest in the world. And I want to congratulate the team on delivering excellent and consistent results of this truly world class asset. Turning to Slide 10. I'm excited to report that we've been executing well on our plan to transition Casa Berardi to fully open pit operation by mid 2024. The mine produced approximately 24,000 ounces of gold at a cash cost of $1,475 and an all-in sustaining cost of $1,695. Mill throughput was lower than the previous quarter due to a planned upgraded gravity circuit. We are optimizing that circuit now and expect it to enhance overall plant recovery. The first phase of the in-house open pit fleet was commissioned this quarter, resulting in record tons moved with the execution of our plans on track and good performance on cost control. We are lowering our cash cost guidance to 1,600 to 1,800 per ounce. The mine remains on track to achieve its production and all-in sustaining cost guidance. Carlos was General Manager of Lucky Friday mine until just a few months ago when he was promoted to Vice President of Operations. The progress and consistency we've seen from the Lucky Friday over the past few years was largely a result of Carlos and his team. And as I will retiring at the end of the quarter, I'll hand him the reins to discuss the remainder of the operations.
Carlos Aguiar: Thanks, Lauren, and good morning, everyone. I will start on Slide 11. However, before we discuss the progress made at Lucky Friday, I want to congratulate our team on Lucky Friday for receiving the 2023 NIOSH Mine Safety and Health Technology Metals Sector Innovation Award for the UCB Mining Method. In addition, we also received the U.S. patent in the third quarter. In August, we reported fire at the Lucky Friday in the #2 shaft, which is also the secondary egress. The fire was extinguished in September. However, the operations of the mine are suspended for the remaining of the year until the secondary egress is established. Our mitigation plans include driving a ramp, vertical escapeway and a vein raise to bypass the damaged portion of the shaft. The ramp and a ladderway raise will serve as a secondary egress with vein raise serving as a bypass for ventilation. To explain our mitigation plans in more detail, I will turn to Slide 12. I'll start with the graphic on the left. First, I want to highlight that the Lucky Friday has two shaft that started the surface. The silver shaft, which is in the left graphic, is the left of the two shaft and the number two shaft. Silver shaft is our main production shaft. It is a circular concrete line shaft. It moves people, equipment, materials, and it's critical for our operations on Lucky Friday. This is the shaft where the service hoist was installed early this year and is unaffected by the fire. To the right of the silver shaft in the graphic, is the number two shaft, where the fire occurred about halfway down. This shaft provides ventilation and in an emergency, an alternative way to leave the mine. Between the two shaft is the new 850 foot vent raise, we are driving for ventilation show infusion. The graphics on the right shows the plans in future to reestablish the secondary egress. The plans comprise an extension of 1,600 foot ramp. And from this ramp, we will install a 290-foot vertical escape raise, basically a ladder with landing. Once complete, this infrastructure will allow for the mine to restart production. The escapeway is the critical path to production and is on schedule with 35% of the ramp and 10% of the raise complete. The ventilation raise war has just begun. These mitigation plans are expected to cost about $10 million and we expect the mine to restart production in January of next year. We have properties and business interruption insurance with an underground sublimit up to $50 million. I will now move to Slide 13. As Phil mentioned it earlier, the safety performance at Keno Hill has not been to Hecla’s standards. So I am on my way with my team to assess what needs to be done to get safely where it needs to be. With the mine just starting, this is a critical time to establish the culture we run at Keno Hill easier now than later. Keno has produced almost 900,000 ounces a year, 700,000 in the third quarter. I expect in the third quarter we will produce between 800,000 and 1 million ounces. We have the Shotcrete plant commission [indiscernible]at the portal, expanded camp facilities, 8,000 feet of development, 10 are headings and the modified secondary crushing. We are in a good position for a strong 2024 if we can get the safety right. Slide 14 shows two of our critical projects, the secondary crusher on the left in the Shotcrete plant of the right. With that, I will pass the call back to Phil.
Phillips Baker: Thanks, Carlos. So on Slide 15, just a little bit on the exploration at Keno. With the tons we've mine, we've been really pleased with Keno’s grade at 33 ounces per ton. The rock has an NSR value in excess of $700. And our exploration team is finding more in a number of deposits, but we'll just talk about Birmingham. So let me orient you on this slide. The Birmingham has a number of zones. Bear, Arctic, Northeast deep, and we are going to be mining here for a long time. The images that you see are only of the Bear and the image on the left is the Bear Vein, and on the right is the Footwall Vein. And there's a third vein that's not shown called the Main vein. I've got us think about names of veins. So it's a little bit confusing, but so you got the Bear Zone with the Bear Vein, the Footwall Vein, and the Main vein. So looking at the image on the left to the Northeast, outside the current design stopes, we are identifying another mineralized [indiscernible]. Grade appears high enough to have the potential to add to our resource. The best hole is about 163 ounces over seven feet. So if you look at the right image, and this is the Footwall Vein. This is within the currently planned stopes. And we have 36-feet of 36-ounce and 17 feet and 56 ounce. And we don't yet have the results on the Main Vein drilling. The point is, there is the likelihood to continue to grow high-grade resources at Keno. We could not be more excited about the exploration results that we are having and the potential that we have in the future. So Slide 16 summarizes our production cost guidance for the year, and we are reiterating our consolidated cost guidance for silver, but lowering the silver production guidance slightly as I previously mentioned. Gold cash costs are a little lower, capital is unchanged. Also on this slide, you can see the ramp up costs for Keno and Lucky Friday's suspension costs for the year. Exploration is unchanged. And as we look ahead to 2025, we think we are still on track to produce up to 20 million ounces. So if you go to Slide 17, and before I open the call for questions, I want to end our prepared remarks focusing on the expected increase in solar energy. Last year, globally, 269 gigawatts of solar was installed. And the International Energy Agency estimates that in seven years, the world's going install about twice as many solar panels this year, about 500 gigawatts. And that's not an unreasonable estimate. It's a 9% growth rate. And that actually compares to a 12% growth rate that we've had over the last 10 years. Now it takes half a million ounces of silver for every gigawatt installed. So last year, that was 140 million ounces or 12% of the total demand for silver, in 2030 with 498 gigawatts. So we are going to use 100 million ounces more or almost 250 million ounces, which would be 21% of the demand if overall demand doesn't grow. And that's not likely, there is other users for silver that we will see increased demand. Now to put the 100 million ounces of demand in context, the production for every year of two more, is two more of the largest silver mines in the world that produce silver. They're actually not silver mines. It's not a silver mine, but it produces about 50 million ounces, or it's 10 Greens Creeks, which is the 11 largest silver mine. Clearly the additional demand for silver that we have over the next seven years is not going to be met by more mine production. Even if there is discoveries of silver, you are not going to be able to get perimeter constructed in that seven-year timeframe. So that's going to come from – to meet that demand, it's going to come from above ground supply, which is going to require substantially higher prices to be mobilized. Finally, I'm going to be the Chairman of the Silver Institute for the next two and a half years. And as a result of that, I was invited to speak at the LBMA conference three weeks ago. And what I was struck by from that conference is that very well respected, knowledgeable market participants are thinking about silver in the same way they have for the past 40 years, primarily as torqued gold. And I would just encourage you to think about silver differently because the demand for silver is so tied to changing our energy sources, it's not going to behave as it has in the past. So while gold goes up, I'm sure silver will, and while copper goes up, I'm sure silver will. But if solar demand is, as I have outlined, then a higher silver price, regardless of what gold and copper do, is inevitable. And with that, what I'd like to do is, Anvita, you said you got a question from one of the analysts that's traveling, and why don't you tell me what that question is?
Anvita Patil: That's right, Phil. So we have a question from Mike Parkin of National Bank. He's in transit. So send along this question. The question is, what are management's thoughts on potential timeline to get Keno Hill operating the Hecla standards of practice?
Phillips Baker: Well, I think, I'll make some comments and I'll turn it to Lauren and Carlos. But I think fundamentally, we will never reach our standard of practice. It's a continuous improvement effort, and so it will take some time. But to get to, you'll never get there basically. But we're going to send – Carlos and his team is going to go there, and they're just going to make sure that we are – we have all the processes in place, all the procedures, we're going to make sure that there's an understanding at the site of the importance of safety and to follow the practices and procedures. That really is the starting point. And then, how do you engineer out risks. Fortunately, with the infrastructure that we're putting in, we're in a very good place to see that happen. But with that, I'll turn it over to the two of you. Lauren, anything to add?
Lauren Roberts: Sure. I'll start and then I'll pass it to Carlos. I think the way to think about Keno is in the past year, we've been very focused on the initial mine development and building out the infrastructure. And that phase is essentially coming to a close now. And as Phil suggests, there was an evolution of our process even within that phase of the work. And now we need to turn our focus to our operational practices and delivering against our operational commitments. And to that end, Carlos and a group of people from our corporate tech services team are heading up there this week to begin that process. Carlos, would you fill in the details?
Carlos Aguiar: Yes. We are getting close and we are making progress that safety is our priority and we are making sure that we have the right people at the right time in the right place with all the materials and equipment in place. So it's going to take some time, we still don't know. We are going to – we are expecting to complete the initial assessment before the end of the year. And then after that we are going to execute the plan.
Lauren Roberts: So, we'll, I guess what I will suggest to you is we will have substantial production from Keno in 2024. We will give you exactly what we think we'll have when we give the guidance for 2024, early in the New Year. So any other questions Anvita before we take it from the operator?
Anvita Patil: That is all.
Lauren Roberts: Okay. Operator, you can open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Heiko Ihle with H.C. Wainwright. Please go ahead.
Heiko Ihle: Hey, there. Thanks for taking my questions, and I'll also join Phil in thanking Lauren for all he's done for the firm. Didn't realize you were at the firm since you were a summer intern.
Lauren Roberts: Yes. It started a long time ago, Heiko.
Heiko Ihle: This builds a little bit on the e-mailed in question. But I mean, there's been some mine infrastructure delays at Keno Hill. We're not concerned about it, especially since it seems like drilling at site continues to go quite well. But can you provide some color on what exactly you're seeing and then also the timelines and anticipated costs to remediate the issues that you're still being faced with?
Phillips Baker: Look, I think the short answer is it's a variety of things. It's not just one thing. And so that goes to the culture that's developing at the site. And we're just in the – if you think about it, we've only been operating for about five months. And so as a result, and you have people that are coming from all over Canada from different mines. They've had different set of expectations, different set of practices, they will describe the same thing. You use different words describing the same thing, and so becomes a communication issue. So it is not, there's not a sort of a one thing that we need to do. It is really about the culture. Do you guys add to that.
Lauren Roberts: Yes. I agree, Phil. Keno is rather unique in the sense that it's effectively a melting pot of the Canadian mining districts from East to West. So there's really no critical mass of miners or supervision from any one area. And as a consequence, we need to build the culture from scratch the way we as Hecla want the culture to be. And that's going to take us a little bit of time. But the production will come along with that evolution in the culture and as the culture comes together the production will improve. So it's a normal process actually at the beginning of a mine, a bit unique at Keno, given the diversity of people there.
Phillips Baker: But it's behaviors and it's behaviors from the miners and their supervisors and throughout the organization. And it's changing the attitudes so that the behaviors change.
Heiko Ihle: No. That makes sense. Completely different one. You maintained your capital guidance. Can you provide some color on what you're seeing in regards to inflation for expenses? As in where are we compared to what you were expecting and just in general, what you're seeing in regards to cost inflation, which line items are better, which maybe a little bit worse than you had expected. And on that same token, any bottlenecks for availability of anything?
Phillips Baker: I will turn it over to Lauren and Russell and Carlos. I mean, from my perspective, the inflationary pressure is reduced. I have no – there's no doubt that there's probably some items within the capital and operating costs that are feeling inflationary pressure, but it's not like what we had previously.
Lauren Roberts: Oh, for sure. Inflation tends to be a sticky thing, Heiko, so it comes quickly and it debates slowly, but we're not seeing the big increases that we did. I would say things are relatively flat. Fuel is starting to moderate, so we're not seeing any big changes now. I would guess in terms of supply, we are able to get the equipment we need and the materials that we need. Some items are longer lead than they were pre-COVID. Things like transformers are very slow, very long lead, but even those items are beginning to shorten in terms of lead time. Probably the most challenging aspect is skilled trades. And I think everybody in the industry is facing that same challenge. And it's a bit of a generational thing. We are seeing the older guys starting to retire and fewer folks coming in. So we're hiring relatively inexperienced people and training. We've seen this before, probably a couple decades back, but we're experiencing that.
Heiko Ihle: That's it for me. I'll get back in queue. Thank you.
Lauren Roberts: Thanks, Heiko.
Operator: Our next question comes from the line of Michael Siperco with RBC Capital Markets. Please go ahead.
Michael Siperco: Thanks. Thanks very much all for taking my question. Maybe shifting gears to Lucky Friday. So you've outlined the three key items that – or it sounds like the three key items that you need to complete to bring the mine back into production. Based on the commentary though, it looks like maybe you're about 15% done on the work that you need to do across those three items. Is that fair or how should we look at the timing and effort required to get that rehab work done?
Phillips Baker: I mean, the short answer is, well, we will be done very early in January unless we have some major surprise. Carlos?
Carlos Aguiar: Yes. As of today, we are between 35% and 40% of the project completed. And as you say, we are expecting to restart the mine starting in early 2024.
Lauren Roberts: And in fact, Carlos and I were underground yesterday, looking at the progress and we are slightly ahead of schedule in some areas, so we were pleased with what we saw.
Michael Siperco: Okay. So has the event bypass been – the raise been started yet? Just based on the commentary, it's not exactly…
Lauren Roberts: Both raises started and the ramp is what percent? Carlos 35% complete, so yes both going.
Carlos Aguiar: It’s 40%.
Michael Siperco: Okay. And then…
Phillips Baker: It's a contractor, Michael, it's a contractor that has come on that was mobilized on the better part of a month ago, and mobilized on the escapeway first. And more recently been mobilized on the ventilation. We realize the ventilation raise doesn't have to be done to go back into production. It's the critical path is the escapeway. We have enough ventilation without the ventilation raise for a period of time.
Michael Siperco: Okay. That was going to be my follow-up question on that. So the escapeway is the critical path, and you're comfortable with say, I suppose we have what two months or so to get that done and to get Lucky back into production by say it, February? Is that a fair way to look at it?
Phillips Baker: January.
Michael Siperco: Back in production in January.
Phillips Baker: If it's February, something unexpected has happened.
Michael Siperco: Understood. Okay. And then just on the insurance, can you share if or when you think you'll have visibility into what will be covered? Do you anticipate that entire $25 million you outlined in terms of costs that Lucky being covered plus business continuity? Is that the right way to look at it?
Phillips Baker: Well, what we'll say is it, we will certainly be no more than $50 million. And like anytime you have a claim with an insurance company, there's a process that you go through and we're in that process and what the outcome is going to be, I'm not able to predict, but we're very confident that we will get a large portion of costs and business interruption up to $50 million. Russell, anything to add?
Russell Lawlar: Yes. It's a work in progress obviously as we work through getting the Lucky Friday back in, we're engaged with the insurance company and we're just working through the process at the moment. And as more info comes to light or as that comes clear, then we can tell the market.
Michael Siperco: Should we be thinking about this as a six-month kind of process or would this be something that would be wrapped up sort of in line with when Lucky comes back into production?
Phillips Baker: It depends on who you ask within Hecla is to the answer to that question. Look, I think Michael, just to be safe, think more in terms of six months than immediately, but I think they should pay us immediately. So I would agree with that. I think that you from a conservativity standpoint should push it out into the future a little bit, but that could change at any time right as we're working through the process.
Michael Siperco: Okay. Understood. Thanks very much. I'll pass it on.
Phillips Baker: Okay.
Operator: Our next question comes from the line of Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator. Lauren, I would like to add my congratulations. I wanted to start my questions with Phil, what you mentioned on the silver solar side, what would be a substitute for silver in a PV solar panel?
Phillips Baker: Ultimately it would be copper is the substitute for it. The problem is the processes for building the solar is you got to use our buildings, yes, solar, you got to use silver given those processes. And then secondly, the performance and the durability of the solar panels is substantially less with copper. So is there a price in which the industry would change? Yes, I'm sure there is. But at the same time you're seeing copper prices increase and the availability of copper. So it certainly nothing that anyone is projecting to occur in the next decade. The other thing to mention is that there are new processes – on the new plants that are being built, they're all being built with processes that require even more silver. And they require that because it's not only cheaper to build, but it's also has greater efficiency and realize these solar panels are somewhere around 25% to 30% efficiency using silver. And so with these new processes, it gets to the upper end of that.
Lucas Pipes: That's helpful. Phil, from your vantage point as a silver supplier, does it make any difference to you whether these solar panels are built in Asia or nearshore to the U.S. for example?
Phillips Baker: I guess practically speaking, it doesn't matter from just thinking about supply chain, it would be great to see it built in U.S. or countries friendly to the U.S. friendlier maybe is a better way of saying that. Without the potential disruption in the cells coming from China, because China does, I don't know, 80%, 90% of all the solar panels.
Lucas Pipes: Yes. Would you have conversations about offtake agreements or supply agreements with potential customers?
Phillips Baker: Yes. Remember what we produce is a concentrate that goes to the smelters and unfortunately, there are no smelters that can – remember there are not very many smelters in the U.S. and there's none that can really process our material. In Canada, there's a few smelters that can process it, but frankly, we have to ship the material really to Korea and Japan to get it processed. And so we're a step away from that ultimate customer. It goes into the smelter. We don't receive the metal back. We pay a fee, treatment charge for processing that material.
Lucas Pipes: Yes. Okay. No, that's helpful. Certainly keep my eyes on that. To go back to Keno, can you remind us what exactly caused the slowdown in the infrastructure developments?
Phillips Baker: I mean, I think the cause of the slowdown is in part, where we're located, the Yukon getting people and materials there. That's probably been the biggest, biggest challenge that we've had. Having camp space, getting – you got to get things sort of aligned where you got the camp space expanded. So you are going to have the room to bring the people in to do the work. Lauren?
Lauren Roberts: Carlos?
Carlos Aguiar: Well, we bring the contractors in almost 25% of our total workforce at the same time, so that causes some delays on the execution of the projects.
Phillips Baker: But the good news, Lucas, as we're essentially done with those infrastructure projects, there's some cleanup that we'll be doing during the course of November on some of the projects. The rockfill plant will be completed at the end of this month. We're done with the crusher with the exception of some electrical work that will happen during the course of November. So all of that is behind us, and when we look at capital for next year, it's substantially less than what we have. And while we're not done with the budget and we're not prepared to give guidance as to what capital will be, it is a lot less.
Lucas Pipes: That's helpful. When would you expect to demobilize some of the contractors and workforce there?
Phillips Baker: Some of it is happening as we speak, but primarily in December.
Lucas Pipes: Okay. That's helpful. Really appreciate the color. Thank you, and best of luck.
Phillips Baker: Thanks a lot.
Operator: Our next question comes from the line of Steven Green with TD Securities. Please go ahead.
Steven Green: Hi, everyone. Just a quick one on the Greens Creek. Yes, you upped the guidance a bit this year. You also beat guidance a bit last year. It appears to be grade driven. Can you confirm that and is this positive grade reconciliation you're getting or just in some higher grade stopes?
Phillips Baker: It is grade-driven and it is slightly higher. Realize it doesn't take much additional grade to have a pretty material impact. Gold in particular has been – the grade reconciliation's been higher and that's something that we have had to deal with for the life of the mine. It's a fairly nuggety gold distribution. And of course, we've had lower grade metals. And so as a result of that, we've had lower – it is kind of an odd thing. You produce more gold, produce more silver, but because you have less lead and zinc per ounce and gold per ounce, you end up having higher cost per ounce. But because you got more ounces for it to be applied again. But yes, it is a slightly positive grade reconciliation. Anything to add, Lauren?
Lauren Roberts: No. That's accurate.
Steven Green: Okay. And we're a couple of months away from 2024 now, and I think your previous kind of long-term guidance suggested a slightly lower grades, silver grades at least in 2024. How is that looking now and is this recent performance, do you expect that to bleed into next year as well?
Phillips Baker: Yes. Look, I think generally speaking, you will see over the course of the next decade, slightly decreased grades at Greens Creek, and it's just a function of trying to maximize the NPV of the asset. So yes, expect lower grades, part of what the way we're trying to offset that is increased throughput. And so that's why you've seen us move to try to get to this 2,600 tons a day. To put that in a context, when we took over operatorship of Greens Creek, when we purchased the portion we didn't own in 2008, the throughput was roughly 2,100, maybe a little less tons per day. So we're now at 2,600 and we've gone from maybe a quarter of the tons being long hold to very, very little of it. So it is a huge accomplishment within the mine. And then in the mill, it's much more than anyone ever thought that that mill would be able to do. So it's been quite an accomplishment that these guys have done it at Greens Creek. I would – they're always looking for a way to improve the operation, and so I wouldn't be surprised if they don't find ways for improvement. But generally speaking, we should see somewhat lower production as the grade declines. Okay. Just remember on recoveries, recoveries have gone up dramatically. I'm trying to remember the numbers, but it's 5, 6 percentage points.
Lauren Roberts: Yes. It's a lot. And even the move from 2,300 to 2,600 tons a day, we saw no meaningful degradation in recovery.
Phillips Baker: And so just – don't get too enthusiastic over what these guys can do. Let's start with what the grade and the numbers would suggest. But this is a great team that works up at Greens Creek.
Steven Green: Okay. Fair enough. That's helpful. Thanks.
Operator: [Operator Instructions] There are no further questions at this time. I would now like to turn the call over to Phil Baker for closing remarks.
Phillips Baker: Okay. Well thanks for the questions. We really enjoy the engagement that we have with you. And so I'll remind you that we have the opportunity, if anybody wants to have a one-on-one call with one of us. We have time set up to do that. So please take advantage of that. I also want to just thank the teams of people that Hecla has, that it's really made Hecla a unique silver producer. And again, I want to thank Lauren for his service to us. And with that, have a great day.
Operator: I would like to thank our speakers’ for today’s presentation, and thank you all for joining us. This now concludes today’s call and you may now disconnect.